Operator: Ladies and gentlemen, thank you for standing by, and welcome to the BlueLinx Holdings Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Today's call is being recorded. We will begin with opening remarks and introductions. At this time, I would like to turn the conference over to your host, Investor Relations Officer, Tom Morabito. Please go ahead.
Thomas Morabito: Thank you, operator, and welcome to the BlueLinx Third Quarter 2025 Earnings Call. Joining me on today's call is Shyam Reddy, our Chief Executive Officer; and Kelly Wall, our Chief Financial Officer and Treasurer. At the end of today's prepared remarks, we will take questions. Our third quarter news release and Form 10-Q were issued yesterday after the close of the market, along with our webcast presentation, and these items are available in the Investors section of our website, bluelinxco.com. We encourage you to follow along with the detailed information on the slides during the webcast. Today's discussion contains forward-looking statements. Actual results may differ significantly from those forward-looking statements due to various risks and uncertainties, including the risks described in our most recent SEC filings. Today's presentation includes certain non-GAAP and adjusted financial measures that we believe provide helpful context for investors evaluating our business. Reconciliations to the closest GAAP financial measures can be found in the appendix of our presentation. Now I'll turn it over to Shyam.
Shyam Reddy: Thanks, Tom, and good morning, everyone. Although soft market conditions are pressuring our margins, we are pleased with our overall sales growth efforts, our acquisition of a high-end specialty products distributor and our Portland greenfield expansion. I am especially proud of the team's efforts to grow our EWP volumes by low double digit percentages and our outdoor living product category by low-single digits during a challenging quarter. On to our Q3 performance. Our third quarter results were highlighted by an increase in sales as we continued to positively execute on our product and channel strategies to grow through challenging market conditions. Net sales and volumes improved for specialty products as overall pricing for this business continued to improve, while our product and channel strategies drove volume gains. Structural products also saw year-over-year pricing improvements for the overall business, which were offset by slight volume declines this quarter. When you adjust for the duty-related matter that Kelly will discuss later, our specialty product gross margins were relatively good at 17% in a tougher-than-expected quarter. Importantly, we announced the exciting acquisition of Disdero Lumber Company, a specialty products distributor. Operating since 1953 and based just south of Portland, Oregon, Disdero is a value-added distributor focusing on premium and higher-margin specialty wood products. I will offer some additional details on this transaction in a moment. We're continuing to create demand for our products through builder pull-through programs and value-add services, along with dedicated efforts focused on national accounts and multifamily opportunities. This strengthens our value proposition for customers and suppliers, helps us deepen our market presence and supports our product and channel expansion strategies. We believe that our strategy, when coupled with our strong balance sheet and liquidity position, provides resilience while positioning us well for better-than-market long-term success. Market-driven price deflation for specialty products continues to stabilize with pricing flat for the third quarter versus being down high-single digits this time last year. We were able to offset the relatively neutral pricing impact in Q3 with volume growth in engineered wood products and outdoor living products, in particular, as our channel and product strategies continue to generate positive momentum to grow sales and gain share in these product categories despite housing starts being down year-over-year through August. Our focused efforts are causing large national builders to convert from other well-known EWP brands to our high-quality onCENTER brand, which is a terrific win for our customers as we accelerate our demand creation efforts for their and our benefit. We're also supporting build-to-rent projects with our targeted builder pull-through programmatic efforts, a segment of the housing market that we believe will continue to gain momentum in light of housing affordability issues. Pricing for the overall structural products business was up slightly this quarter, which partially offset the impact of volume declines. Strategically, we are maintaining our commitment to expanding our 5 main specialty product categories: engineered wood, siding, millwork, industrial and outdoor living across all customer segments. Although our mix shift strategy remains unchanged, we are prioritizing strategic channel growth when making decisions about new product launches and working capital investments. We are also continuing our efforts to expand our multifamily business, our builder pull-through efforts and our national accounts business, all areas where we are seeing positive results. We expect to see solid rebounds in the multifamily segment, which efficiently addresses housing demand and affordability over the long run. Recent housing data shows year-over-year improvement, supporting our strategy for long-term growth in this channel. Our multifamily focus is creating demand for our products in tough single-family market conditions, though these sales often involve longer inventory turnover and direct sales, which have lower gross margins. This channel also provides a smoother path for product conversions to the brands we carry, such as our onCENTER engineered wood products and Allura fiber cement siding. Our digital transformation work remains on schedule with Phase 1 set to be completed this year. We have strengthened our master data foundation. We have converted more than 2/3 of our markets to our new Oracle Transportation Management system, and we have successfully processed e-commerce transactions in our pilot market. Our learnings from Phase 1 will inform future investments in our digital transformation journey. We're also advancing our AI work to improving efficiency and boosting productivity. We've gone from piloting AI with a group of BlueLinx associates to providing most of our associates with the ability to build agents via the Microsoft platform to streamline their work and to help improve their productivity. We believe our technology modernization will help us stand out and accelerate profitable sales growth and operational excellence. In addition, M&A and greenfields remain important elements of our profitable sales growth strategy, so we continue to explore and evaluate opportunities in both areas in order to expand our geographic reach and to support our specialty product sales growth initiatives. We are now coming up on 1 year since we announced our Portland, Oregon greenfield, which continues to perform very well. Last quarter, we significantly expanded our product offerings and doubled our warehouse space in that location due to better-than-expected demand. Along these lines, and as we announced on Monday, we are very excited about the acquisition of Disdero Lumber Company, a specialty products distributor. Disdero focuses on higher-margin premium specialty wood products, which are used primarily in the construction of high-end custom homes and decks as well as upscale multifamily residential projects. With customers in nearly all 50 states, we are looking forward to growing this business, not only as part of our Western expansion, but also by distributing Disdero products out of several BlueLinx locations across our footprint. We also plan to offer many of our core specialty products to Disdero's existing customers. The acquisition directly addresses several of our key strategies, such as shifting our product mix increasingly toward higher-margin specialty products, supporting growth in the multifamily channel and to expanding our business in the Western United States. We are also pleased that the highly experienced Disdero team will be staying on with BlueLinx. Combining Disdero with BlueLinx's long-standing customer and supplier relationships, nationwide scale and overall financial strength should result in a significant expansion of this successful business. Now turning to our third quarter results. We generated net sales of $749 million and adjusted EBITDA of $22.4 million for a 3.0% adjusted EBITDA margin. Adjusted net income was $3.7 million or $0.45 per share. Specialty products continued to account for approximately 70% of net sales and over 80% of gross profit for Q3. Specialty product net sales increased slightly year-over-year due to strong volumes in engineered wood products and outdoor living products. Unfortunately, price deflation in EWP partially offset the benefits of our net sales and volume increases in this category. Gross margins for specialty product sales came in at 16.6%, which, as reported, was below our expected range and due in part to a duty-related adjustment that Kelly will discuss in a moment. Excluding that duty-related adjustment, our gross margins would have been 17%. Our commitment to business excellence ensures solid gross margins even in challenging markets. By leveraging our diverse customer base, broad geographic reach, product assortment, multifamily and builder pull-through capabilities and large scale, we can deliver greater value to our customers and suppliers and remain well positioned for long-term success. It is important to note that while industry-driven specialty products price deflation in certain categories continues to adversely impact our top line and our cost of goods sold, the price declines overall continued to improve and were flat in Q3 compared to prices being down high-single digits this time last year. We are optimistic that specialty pricing volatility will continue to stabilize. Despite our success, higher profitable sales growth may be adversely impacted by tariffs, high mortgage rates and general economic uncertainty, which I will briefly discuss in a minute. Structural product revenues decreased slightly year-over-year, largely due to price declines in panels, combined with modest volume declines in both lumber and panels. These volume declines were due to continued challenging market conditions. For the quarter, industry average lumber prices were up 6%, while panel prices were down 14% year-over-year. We once again leveraged our disciplined approach to inventory management and our centers of business excellence to effectively manage margins in our structural product categories. Our financial position remains strong, and our significant liquidity gave us the flexibility to return capital to shareholders by repurchasing $2.7 million of shares in Q3. Combined with our new $50 million share repurchase authorization announced last quarter, our total current availability is $58.7 million. Now let's turn to our perspective on the broader housing and building products market. As you all know, the housing market continues to be soft, which is impacting the building materials and distribution sector. Broadly speaking, housing affordability, elevated mortgage rates, short-term interest rates, construction labor availability, inflation, consumer confidence and other factors continue to affect the housing and repair and remodel markets. The uncertainty being generated by government policies and the adverse impact of the macroeconomic environment on building materials should be short term in nature as the long-term fundamentals of housing are strong enough to drive demand when the market recovers. Currently, the U.S. is 4 million homes short on supply, which is clearly positive for the building products sector. And with the average age of a home at 40-plus years old, it's clear that homeowners will need to make improvements to their existing homes or buy new homes, which will drive greater repair and remodel activity. August total housing starts, which is the latest data available due to the government shutdown, were down nearly 6% year-over-year, and single-family housing starts were down nearly 12% from August 2024. Builders' confidence and consumer sentiment levels are also down significantly compared to this time last year. By comparison, multifamily housing starts were actually much higher on a year-over-year basis, serving as a catalyst for our strategy. Although the total starts are down, our product and channel strategies are leading to gains in a contracting market due to sales growth tied to success with our product expansion, builder pull-through, multifamily and national accounts efforts. While interest rates have been improving and thus helping with the affordability issue, consumer sentiment being down over 20% year-over-year remains a real concern. During the quarter, I spent a great deal of time meeting with customers and suppliers in markets all across the country, and the general tone continues to be one of near-term uncertainty, coupled with longer-term optimism. As we have said before, several sources have estimated that more than 1.5 million homes need to be built every year for the next 10 years to meet the anticipated housing demand, and that may be a conservative number. Repair and remodel spending continues to be soft due to low existing home sales. Despite this softness, our strategic focus on national accounts is enabling us to grow this segment of pro business at scale. As housing activity increases, we believe the investments we're making today will accelerate our growth efforts in the repair and remodel pro business when it recovers. Despite difficult market conditions and uncertain government policies, we believe the market will improve in the back half of next year if interest rates continue to decline and housing starts and repair and remodel activity improve as a result. Regardless, we will continue to emphasize our product and channel growth strategies and, in particular, our builder pull-through, multifamily, national accounts and product expansion efforts to grow in an otherwise challenging market. Our enterprise-wide product and channel strategies position us well for long-term success as they are designed to fully leverage our scale to drive profitable sales growth, not only in challenging markets like the one we're currently in, but more so when the housing market recovers. In summary, although our Q3 results were solid given challenging market conditions, we are most proud of our continued success executing our strategic initiatives as evidenced by our specialty product expansion efforts, multifamily channel growth, national accounts growth, capital allocation initiatives, Portland greenfield expansion and the Disdero specialty products distributor acquisition. We look forward to finishing the year on a high note and to setting ourselves up for success in 2026. I want to express my appreciation to all BlueLinx associates for their ongoing commitment to our customers, suppliers and one another. Our teams remain focused on driving profitable growth in both specialty and structural products sales, ensuring we are prepared for long-term success even as we navigate current market challenges. Now I'll turn it over to Kelly, who will provide more details on our financial results and on our capital structure.
Christopher Wall: Thanks, Shyam, and good morning, everyone. Before I review the consolidated results for the third quarter, I'd like to offer a few more details on the Disdero acquisition. We purchased the company for $96 million. The acquisition was funded with cash on hand, and we expect it to be immediately accretive to adjusted EBITDA and adjusted diluted earnings per share. When adjusting for the net present value of expected tax benefits related to the acquisition of approximately $8 million, the net transaction value is approximately $88 million. Pro forma for the funding of the acquisition, our net leverage remains within our previously stated targeted range and our available liquidity remains strong at approximately $680 million between cash on hand and the unfunded revolving credit facility. For the last 12 months ended September, Disdero generated just over $100 million in net sales. Pro forma, after expected cost synergies and including the tax benefit, the purchase price was approximately 7x EBITDA. I would like to reiterate Shyam's thoughts that we are very excited about purchasing a specialty products distributor that fits squarely within the M&A component of our capital allocation strategy and believe it will significantly benefit both our customers and suppliers as we offer the Disdero products across the existing BlueLinx branch network and continue expanding in the Western part of the U.S. We are also excited about the talented and experienced group at Disdero that is joining the BlueLinx team. Turning now to our third quarter results. Overall, our specialty products business delivered solid volume growth in a challenging macro environment, while structural products volumes were lower year-over-year. Net sales were $749 million, up slightly year-over-year. Total gross profit was $108 million and gross margin was 14.4%, down from 16.8% in the prior period. Our results for specialty products reflects an adjustment for import duty-related matters incurred in prior periods. During the third quarter of 2025, the adjustments resulted in an increase to cost of products sold of $2.2 million. Excluding this item, total gross margin would have been 14.7%. SG&A was $89 million, down $3 million from last year's third quarter. This decrease was mainly due to lower incentive compensation expense in the current period related to our year-to-date financial performance, partially offset by increased sales and logistics expenses driven by our strategy to grow sales in the multifamily channel and expenses associated with our digital transformation initiatives. Given the challenging demand environment, we continue to focus on rigorous expense management and opportunities to further operational efficiency. Net income was $1.7 million or $0.20 per share, and adjusted net income was $3.7 million or $0.45 per diluted share. We had an income tax benefit for the third quarter of $300,000 due in part to deductions related to stock-based compensation. For the fourth quarter, we anticipate our tax rate to be between 27% and 31%. Adjusted EBITDA was $22.4 million or 3% of net sales and includes the unfavorable duty-related matter. Not including this adjustment, adjusted EBITDA would have been $24.6 million or 3.3% of net sales. Turning now to third quarter results for specialty products. Net sales for specialty products were $525 million, up 1% year-over-year. This increase was driven by volume increases in engineered wood and outdoor living, partially offset by price declines in EWP and other categories. As Shyam mentioned, given current market conditions, we are optimistic that specialty pricing volatility will continue to subside in the coming quarters. Gross profit from specialty product sales was $87 million, down 13% year-over-year. Specialty gross margin was 16.6%, down from last year's 19.4%, primarily due to price deflation in certain product categories as well as the duty-related adjustments of $2.2 million. Not including these duty-related items in the current and prior year third quarter, specialty products gross margins would have been 17% and 18.7%, respectively. Through the first 4 weeks of the current fourth quarter, specialty product gross margin was in the range of 17% to 18% with daily sales volumes down low-single digits from the third quarter of 2025 and flat with the fourth quarter of 2024. Now moving on to structural products. Net sales were $223 million for structural products, down 2% compared to the prior year period. This decrease was primarily due to lower panel pricing and lower volumes for both lumber and panels when compared to last year. Gross profit from structural products was $21 million, a decrease of 17% year-over-year, and structural gross margin was 9.3%, down from 11% in the same period last year. In the third quarter of 2025, average lumber prices were about $409 per thousand board feet and panel prices were about $443 per thousand square feet, a 6% increase and a 14% decrease, respectively, compared to the average in the third quarter of last year. Sequentially, comparing the third quarter of 2025 with the second quarter of 2025, both lumber and panel prices were down about 9%. Through the first 4 weeks of the current fourth quarter, structural products gross margin was in the range of 8% to 9%, with daily sales volumes up low-single digits versus the third quarter of 2025 and down mid-single digits compared to the fourth quarter of 2024. Turning now to our balance sheet. Our liquidity remains very strong. At the end of the quarter, cash on hand was $429 million, an increase of $43 million from Q2, largely due to improvements we drove in working capital and, in particular, our inventory balances. When considering our cash on hand and undrawn revolver capacity of $347 million, available liquidity was approximately $777 million at the end of the quarter. Total debt, excluding our real property financing leases, was $380 million, and net debt was a negative $49 million. Our net leverage ratio was a negative 0.5x adjusted EBITDA, given our positive net cash position, and we have no material outstanding debt maturities until 2029. Additionally, given the strength of our balance sheet and continued strong liquidity, we remain well positioned to support our strategic initiatives. These strategic initiatives include continued growth in the multifamily channel, demand pull-through efforts to benefit our customers, continued specialty product expansion, our digital transformation efforts and other organic and inorganic growth initiatives. Now moving on to working capital and free cash flow. During the third quarter, we generated operating cash flow of $59 million and free cash flow of $53 million, primarily due to lower CapEx and effective working capital management, particularly as it relates to driving our inventory levels lower to be in line with the current demand environment. Turning now to capital allocation. During the quarter, we incurred $6.4 million of CapEx, primarily related to our digital transformation investments, normal replacement of aging components within our fleet and the typical maintenance and investment in our branches. For the remainder of 2025, we plan to manage our CapEx in a manner that reflects current market conditions and allows us to maintain a strong balance sheet. Our remaining capital investments will focus on facility improvements, further replacement of trucks and trailers and the technology improvements previously discussed. Also during the third quarter, we repurchased $2.7 million of stock, and we had $58.7 million remaining at the end of the quarter from our previous $100 million share repurchase authorization, combined with our more recent $50 million authorization. Year-to-date, this brings our total share repurchases to $38.1 million. Our guiding principles for capital allocation remain consistent with prior quarters. We intend to maintain a strong balance sheet, which enables us to invest in our business through economic cycles, expand our geographic footprint and pursue a disciplined greenfield and M&A strategy as demonstrated by our acquisition of Disdero and opportunistically returning capital to shareholders through share repurchases. We also plan to maintain a long-term net leverage ratio of 2x or less. Overall, we reported solid third quarter results in light of current market conditions, and we were pleased to have driven higher volumes in EWP and outdoor living within specialty products and delivered slightly improved pricing for structural products. And in addition, our strong balance sheet and liquidity enable us to execute our strategy and support our long-term success. Operator, we will now take questions.
Operator: [Operator Instructions] Your first question comes from Greg Palm with Craig-Hallum Capital Group.
Danny Eggerichs: This is Danny Eggerichs on for Greg today. Maybe just digging into the Disdero acquisition a little bit more and how that came to be. Looking at the kind of acquisition multiple, the 7x post synergy, quite a bit higher than what your stock trades at. So maybe just rationalize that purchase price here versus buying back your own stock. How this going to be? What it brings to the table? And what makes you excited and willing to pay a bit more of a premium for Disdero?
Christopher Wall: Yes. So Danny, it's Kelly. Shyam will hit on what we see in terms of the excitement around Disdero going forward. But what I would point out is that this transaction is clearly in the specialty products space. The gross profit margins are in the high 20s. And then we see an opportunity not only on the cost synergy side of about $1 million, but we've got $1 million to $3 million of cost synergies that we –- or, excuse me, revenue synergies that we see over time as we roll their products out across certain of our branches. So the fact that this is a higher-margin business that fits well within our strategy to grow specialty products and then the upside potential that we see in this business going forward is what helped us ultimately be comfortable with the purchase price we paid.
Danny Eggerichs: Yes. Okay. And is that kind of consistent with some of your M&A strategy going forward? You're fine with paying those kind of multiples as long as it brings some of these characteristics to the table? Or how should we think about it moving forward?
Christopher Wall: Yes. So yes. I mean, if you recall, when we developed the M&A strategy, the idea was, okay, let's get more focused on what's going to support the overall strategy of the business in order to leverage -- expand upon our scale. So first and foremost, geographic expansion. Some deals that would support that would obviously be inherently -- they would inherently minimize disintermediation or consolidation-related risk or integration-related risk. Secondly, when you look at the specialty mix shift, we started going after primarily specialty products distributors, and Disdero fits right in that. Their specialty product offering is very much two-step distribution friendly, has high stickiness with customers and supports high-end builders and high-end repair and remodel projects through our customer base. What we -- what this multiple does not take into account is -- are the commercial synergies that we expect to generate over time. We took a very conservative approach on our expression of the pro forma multiple post expense synergies. But once we start taking full advantage of the BlueLinx network in order to expand the Disdero business, that in and of itself will help accelerate our mix shift while also making the purchase price we paid for this business a pretty fair deal. And to your question around -- look, as you shift the specialty mix, the multiple expansion associated with that over time makes sense for this business in the long run. So we will continue to look at specialty-oriented businesses given the long-term benefits we'll generate.
Danny Eggerichs: Okay. Got it. I appreciate that color. Maybe on SG&A. We saw some good operating leverage this quarter with OpEx taking a step down. So maybe how should we think about that moving forward? I know you mentioned there was some lower incentive comp, but there's still some ongoing expense management. And how should we think about it relative to the levels we saw in Q3?
Christopher Wall: Yes. I'd say that the levels in Q3 as a percentage of sales are lower than what we would expect going forward. We have continued investment in some of our initiatives around multifamily as well as our digital transformation efforts. With those and just kind of a continued flow-through of increased kind of merit costs and other things through the course of the year, we expect that SG&A as a percentage of sales will be slightly elevated year-over-year, year-end '25 versus year-end '24. And then we continue to take actions that are impacting the current quarter that will have some benefit into 2026.
Operator: The next question comes from Zack Pacheco with Loop Capital.
Zack Pacheco: Maybe to start, just any more color you guys can provide on how specialty volumes trended throughout the quarter. Curious if you saw any deceleration in demand as the quarter progressed given single-family demand fundamentals continuing to soften during the back half of the year?
Christopher Wall: Yes. I think on the specialty volume side, we saw some -- a slight kind of increase led by our EWP product, engineered wood product. And so yes, we've seen that decelerate some in Q4, but we had a good quarter kind of year-over-year in Q3 on the volume side.
Shyam Reddy: Yes. So just to highlight that a little bit more. So clearly, there's a seasonal decline as you come into the Q4 cycle because you're coming off season. But if you look at EWP broadly speaking and also outdoor living products, those were 2 specific areas where we were up year-over-year on volumes. And even though we were down on pricing year-over-year, it was still tempered at mid-single digits. So if you look at our double –- low-double digit volume growth in EWP and single digit volume growth on outdoor living products as the market contracted in Q3 as we look at housing starts through August, it's a pretty remarkable story. Like if you look at our structural volumes, for example, they actually track the housing start decline. Yet on the EWP front, we were -- we went against that trend, which I think shows the merit of the various strategies we've employed to grow our private label business and otherwise grow the channel with respect to some of these strategic focus areas with builder pull-through programs, multifamily, also national accounts as well.
Zack Pacheco: Okay. That makes sense. Yes. And then maybe just more generally speaking, what you guys are seeing from the regional and independent builders, again, assuming they continue to trail the large publics, given they're more sensitive to higher rates. But I guess on that, just any internal initiatives or thoughts on how to increase share with the large publics.
Shyam Reddy: Yes. I mean, look, we have -- one of the ways -- one of the reasons we know we're gaining share or winning on the EWP front, in particular, is we've developed programs with large publics as well as regional builders. And in head-to-head match-ups, we're preserving existing business and winning new programs. And then if you think about that in the context of our overall pricing only being down kind of mid-single digits, which we believe is better than what we've seen publicly and what we're hearing privately relative to our competitor set shows that we are doing -- we're continuing to progress our efforts with these builders. So although they are contracting to some degree, we are actually performing very competitively and picking up more of that overall wallet across multiple regions with some regions being higher than others. So for example, in the South, we've been fairly successful. In some regions like the Northeast, you have a much lower big builder or regional builder presence or more custom homebuilders. But again, given the economics up there, that market is actually doing well because custom homebuilders are still doing well.
Operator: The next question comes from Reuben Garner with Benchmark.
Reuben Garner: So if I'm understanding it correctly on a kind of a clean basis, the specialty gross margin was 17% in the third quarter. You're seeing a little bit higher than that to start the fourth quarter. What exactly is driving that uptick? I think -- and correct me if I'm wrong, but at least in recent history, the fourth quarter tends to have a lower gross margin profile in specialty than the third. Is there anything kind of unique that happened in the third quarter or to start the fourth that's driving that dynamic?
Christopher Wall: Yes. I think in the fourth -- or in the third quarter, we saw rebate and kind of deviation activity a bit lower than prior periods as well. And what we're seeing in Q4 is that at more normal levels going forward, right? So that uptick in Q4 is just as we are ending the year, right, and we're kind of recognizing those benefits to our cost of products on the rebate side, it's helping us get back in line with our -- the levels that we saw through the course of the year, we're trending towards.
Shyam Reddy: Yes. And just from a strategic perspective, as we continue to try and differentiate ourselves from our competitors, we are really leaning into value-add services, whether they be much faster turns on EWP plans and takeoff services in order to drive sales of our own products and get greater stickiness with builders so we can pull our products to our customers and help generate business for them. Obviously, on the multifamily side, too, from some of the value-add services we're providing, that's helping us grow. And so ultimately, all things being equal, the goal for us is to demonstrate the value and then get paid for the value because in the long run, that's obviously better for our customers as they grow their businesses more profitably.
Reuben Garner: Okay. And then kind of a bigger picture question. There's definitely been some movement in both probably some of your customers and suppliers, whether it's consolidation or just different ownership. Have you seen or do you see any opportunities, whether it's picking up new brands on one side or working with customers differently as they kind of evolve their businesses. Just curious if you're seeing any impact yet or what the likelihood is that, that comes in the months ahead?
Shyam Reddy: Yes, absolutely. I do think that some of the consolidation you're seeing in the marketplace, especially with respect to suppliers, could open up some new opportunities for us. At the same time with customers, I mean, we're the value-add services we're providing, let's take multifamily, for example, many of our smaller customers and medium-sized customers, they don't have multifamily capabilities, whereas we do. I mean we've made investments across the network on top of what we've done at corporate to really drive demand for our products through their business because we will not break channel, but we will -- we are determined to help our customers succeed. And to the extent we can leverage our -- the investments we make at scale to do that, the better off everybody else is. So I think that -- and by the way, that multifamily channel also allows us to take advantage of some of the disruption you're referring to, whether it be on the customer side from a consolidation perspective or on the supplier side from a brand perspective.
Reuben Garner: Okay. I'm going to sneak a couple more in, if I can. Your inventory is pretty consistent with a year ago in terms of what percentage of revenue it is. There's been some talk of destocking across various categories within building products as things kind of softened throughout the year. How are you guys thinking about it? Have you been kind of staying consistent? Is there any categories, whether it's outdoor living or commodity or any others where you're staying invested because you believe that there's a recovery around the quarter? Can you just talk about your thoughts there?
Shyam Reddy: Yes. Generally speaking, we are trying to adapt and adjust to the market. I mean we have a very strong philosophy here of not taking positions, no matter the category. I mean we are -- we have very strong -- I mean, we're constantly working with the business to make sure we have optimal inventory levels. Obviously, heading into the summer, the spring/summer seasonal upside of normal building products and housing. I think we all built inventory to expecting more business than actually materialize, and that was -- I mean that's everybody, right? And so over the course of the summer heading into the fall, we have been very disciplined around our inventory management and taking into account what we had planned for. So we will not -- there is no build it and they will come. I mean I think we have a very smart strategic approach that's very disciplined around both specialty and structural inventory management.
Reuben Garner: Okay. Last one for me. Engineered Wood Products. have you seen the sequential price pressure there yet?
Shyam Reddy: Yes. Well, it's stabilized, right? It's definitely stabilizing. And again, as we -- some of the things we're trying to do in order to demonstrate our value, right, is quicker turnaround times on EWP plan designs, for example. We're doing some other value-add services with key customers to help them for us to be a more powerful extension of their business. So there are a number of things we're doing to not only get on the front end of that stabilization of price, but also get paid on the margins for incremental value we provide that others don't. But yes, a long-winded way of saying, yes, it's stabilized, continue to see stabilization.
Reuben Garner: Great, thanks. Thank you and good luck through year-end. Congrats on the acquisition.
Shyam Reddy: Thank you.
Christopher Wall: Thank you.
Operator: The next question comes from Adi Madan with D.A. Davidson.
Aditya Madan: Maybe first off with -- you kind of hit on this earlier, but what specifically drove down specialty gross margin sequentially on an adjusted basis? And specifically, what like go-forward impacts or have about this segment to end the year and into 2026?
Christopher Wall: Yes. We saw across primarily on the specialty side, just a net higher cost of products sold. The duty-related item we called out and we've also seen in terms of some of our rebate activity and a lower benefit in the quarter than prior periods. Again, we've addressed that and expect and are seeing that at a more normalized level in the first 4 weeks of the current quarter. And again, are experiencing margins in that 17% to 18% range currently and expect to achieve that in Q4 as well.
Aditya Madan: Okay. Got it. And maybe about the run rate SG&A on a go-forward basis? And are there any structural cost reductions underway that might have been baked into the 3Q numbers?
Christopher Wall: Yes. So no structural changes kind of baked into the Q3 numbers. We are taking some actions in Q4 that we expect to see benefits from that, some in Q4, but also mostly on an annualized basis next year. As a percentage of sales, as we go into 2026, I think for the full year, we expect some slight pressure kind of increasing that, but we're in the tune of kind of somewhere between 0 and 25 basis points.
Aditya Madan: Okay. Yes, that sounds good. And maybe lastly about capital allocation after the Disdero deal, are you more inclined towards share buybacks at these levels?
Shyam Reddy: So we're going to continue to be opportunistic as we look at buying back shares. When we look at the acquisition of Disdero combined with last quarter's activity, that was about $100 million of capital that we put to work. So we'll be disciplined going forward. The level of activity may be lower here as we end this year and go into next year. But we continue to see the share repurchases as a key way for us to continue to return free cash flow back to our investors to the extent we're not putting it to work elsewhere.
Aditya Madan: Perfect. Sounds good. Good luck to end the year guys.
Shyam Reddy: Thank you.
Operator: This concludes the question-and-answer session. I'll turn the call to Tom for closing remarks.
Thomas Morabito: Thanks, Sarah. Thank you again for joining us today, and we look forward to speaking with you in late February as we share our fourth quarter and full year 2025 results.
Operator: This concludes today's conference call. Thank you for joining. You may now disconnect.